Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the MetroPCS Communications Fourth Quarter and Yearend 2007 Results Conference Call. During today's presentation all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. [Operator Instructions]. This conference is being recorded today, February 27, 2008. I would now like to turn the conference over to Mr. Keith Terreri, Vice President and Treasurer for MetroPCS. Please go ahead, sir.
Keith D. Terreri - Vice President, Finance and Treasurer: Thank you, Dennis, and good morning everyone. I'm Keith Terreri. I would like to welcome to you to our fourth quarter and yearend 2007 conference call. The speakers with me this morning are Roger Linquist, our President, CEO and Chairman of the Board; Tom Keys, our Chief Operating Officer; and Braxton Carter, our Executive Vice President and Chief Financial Officer. The format for today's call is as follows. First, Roger will provide an overview of our business, then Tom will provide an update on a number of operational results and metrics and Braxton will review the financial and investment highlights of our fourth quarter and full year followed by a Q and A session. During today's call, we will refer to certain non-GAAP financial measures. We've reconciled these historical non-GAAP measures to GAAP figures in our earnings release which is available in the Investor Relations section of our website at www.metropcs.com under the Investor Relations tab. Before I turn the call over to Roger, I want to remind you that certain information that we will discuss in this conference call may constitute forward-looking statements within the meanings of federal securities laws. Words such as believes, anticipates, expects, intends, estimates, projects, and other similar expressions typically identify forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual results with the timing of the events to differ materially from those described in the forward-looking statements. We cannot assure you that the expectations discussed in this conference call will be attained. Please review the risk factors described in our filings with the SEC. We would also like to remind you that the results for the fourth quarter and full year may not be reflective of results for 2008 nor any subsequent period. When you are listening to a taped or webcast replay or reviewing a written transcript of today's call, please note that all information presented is current only as of February 27, 2008, and should be considered valid only as of February 27, 2008 regardless of the date reviewed or replayed. MetroPCS disclaims any intention or obligation to revise any forward-looking statements whether as a result of new information, future events or otherwise except as required by law. I hope by now you've had a chance to review our earnings release issued this morning with the financial results for the fourth quarter and full year 2007. I'd encourage everyone to read our earnings release in conjunction with the information discussed in this call along with previous SEC filings. We intend to file our 10-K later this week. At this time I would like to turn the call over to our President, Chairman of the Board and CEO, Roget Linquist.
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Good morning everyone and welcome to the MetroPCS fourth quarter and yearend 2007 earnings call. Glad to have you with us this morning. I like to start off by saying that we are very pleased with the results of our fourth quarter and full year of 2007. In the past year we added over one million subscribers, our second consecutive year of adding over one million new subscribers. In January 2008 we've reached the 4 million subscriber milestone, which is double of what we had just two years ago. This continued strong subscriber growth demonstrates the strength of our service offering and value proposition compares very favorably with our competitors' offerings. With nearly 300,000 net additions during the fourth quarter and over one million net additions in 2007, we remain optimistic about the growth of the business and its potential. Even more so, our net additions in the fourth quarter gives us confidence and the resiliency of the business model during weaker or uncertain economic times. Importantly, we continue to believe economic slowdowns facilitate an increase in our market penetration rates as consumers look for compelling value propositions. One of the ways our customers are consolidating their costs are by using our phones instead of their landline phones. Based on customer surveys, approximately 85% of our customers use our service as their primary telephone service and we believe these customers are less likely to discontinue service. Furthermore, our unlimited no contract offering is well designed for wireline replacement, which we believe will become increasingly prevalent regardless of general economic conditions. Our customer base continues to cut the cord and use their unlimited minutes as their only phone. With no subscriber bad debt exposure and a low cost structure MetroPCS is well positioned in a difficult economy to continue our aggressive customer acquisition. As customers increasingly look for ways to replace their landline phone with wireless service, we believe there is a real opportunity for us to capitalize on this trend. Importantly, we believe that this transition is still in its early stages. While wireless penetration in the US is in the low 80% range, wireline replacement is currently projected to be around 14%. This provides MetroPCS a stable opportunity with no concerns about overcharges, and our unlimited nature, MetroPCS service is the perfect product to replace landline phone service. Consumers have a hierarchy of needs and wants and we know that personal communications are a basic human need. Historically wireline phone service has been high in the list of needs and wireless has been high in the list of wants. However, with the pervasiveness of global wireless telecommunications we believe a shift has occurred and wireless telecommunications is now considered by many to be a need. We believe we are the national choice for wireless service for these customers. Prior to this transition during times of economic uncertainty or weakness, wireline and cable have been safe havens. Today, however, with wireless service a vital part of human experience, we believe it is the new safe haven. As a major market player we continue to focus on the largest markets in the country as we expand. We've announced plans to offer service to the number of new markets including Las Vegas in the second quarter of this year, Philadelphia in the fourth quarter, Boston in the first quarter of 2009, and New York in the first half of 2009. We believe these market launches will drive sustainable growth in our business and with an attractive population densities and demographics; they are also the markets where this model works best. We've a tremendous opportunity in Northeast and Tom will give you an update on the Northeast builds shortly. In addition, to our major market focus, our low cost structure continues to provide the foundation to generate world class EBITDA margins that creates shareholder value in a competitive industry. We believe our subscriber profitability in our core markets which had an approximate 46% EBITDA margin for 2007 is truly exceptional and is one of the highest in the industry. We'd all also like to give everyone an update on the Los Angeles market. Tom will walk through more of the details on our launch of service and activity to-date. But as we have said previously this market has great demographics and many subscribers are already benefiting from the value of our service. We continue to see steady growth in customer additions in this market. We expect many future customers in this market will also realize this tremendous value in our unlimited service offer. As we look to the future, we are committed to maintaining a structure that we believe generates value for our shareholders and customers alike. We operate in major markets, we operate limited services that are predictable, affordable, flexible for our customers and maintain an industry leading low-cost structure and this has resulted in core market EBITDA per subscriber as best in class as compared to our competitors. As always we will continue to look for ways to add value to our existing service plans in order to stay competitive. We are the pioneers in the unlimited wireless space and we are the leaders in offering unlimited wireless services. Now, I would like to hand over to Tom to discuss some of the operational highlights from the quarter.
Thomas C. Keys - Chief Operating Officer: Thanks Roger. I would like to make some high level comments about the quarter then we'll get into the details. As Roger mentioned a strong subscriber growth continues in 2007 and we are pleased with last year's results. As we have discussed, our product is differentiated from the competition and in the midst of uncertain economic times provides an excellent tool for people to effectively manage their budgets and disposable income. We have always provided an unlimited product. We offer multiple service plans at different price points to give subscribers the permission to speak freely and not have to worry about overage charges. Our product gives our customers predictability but in an affordable manner with flexible terms. There is significant seasonality in our business. We view this seasonality as stemming from changes in customers' disposable income throughout the calendar year. In the fourth quarter and first quarter, which are the seasonally high quarters for net additions, the holidays, yearend bonuses, tax free funds and the like increased disposable income. Historically, approximately 70% of our core market net additions have been in the fourth and first quarter. Customer migration and family vacations tend to have the opposite effect in the second and third quarters. However, this year, we believe the government's tax refund stimulus plan which estimates consumers will receive checks in late spring and summer will likely benefit our second and possible third quarter results. Consistent with seasonal trends, we recorded 299,000 net additions in the quarter. Over the past year our growth both within core and expansion markets has been outstanding. In the past year our subscriber base grew 16% in core markets and over 100% in expansion markets. I would like to give everyone an update on the few of our markets. In Florida, we recently launched service in Daytona and Melbourne. In January we announced the acquisition of certain assets from Cleartalk. This acquisition will help us accelerate our launch of service in Jacksonville and in the near future we will have a footprint that covers the majority of Florida. Our Detroit market continues to perform well. As we have discussed previously, Detroit is severely economically depressed. However, we continue to see Detroit is having the highest minute usage amongst our customers and lower than average turn. In an economically depressed area such as Detroit, we believe the high usage and lower than average turn is a result of more customers using their MetroPCS phone as their primary communication device, and an indication of what may happen in a general economic downturn. In 2007, we increased our indirect distribution by rolling out Target in late October and Wal-Mart in November, what we believe our traditional indirect dealer channel will provide most of the gross additions for our business. The expansion of our distribution to include these two national chains will add incremental growth by reaching the mass retail segment. Additionally, in connection with our retail strategy our indirect dealer and company owned stores all form an effective service blanket which provides our retail customers with the payment and service location opportunity within minutes of their purchase location. We will continue to leverage our unique and desirable distribution model that serves our customers so well. As we discussed in the past, since initially launching service in 2002, we have built our truly unlimited service from the ground up. Our industry leading low cost structure is a competitive differentiator and a key to our success. Our service offerings, distribution design, customer care, back office support, and low cost network design were all engineered from the bottom up and built to maintain a low cost structure while delivering high quality service. While we operate in a comparative industry, we believe we are well positioned for continued success. At the end of the third quarter of 2007, we launched service in the Los Angeles market initially covering 11 million pops. As we continue to scale our distribution efforts and expand our network, we are seeing accelerating demand. Our work on building out the network continues and we expect to cover approximately 15 million pops during the third quarter of 2008. As we have seen in LA with the phased launch growth in linear and ramps up as coverage and distribution increases. During the fourth quarter of 2007 we invested in advertising and marketing in order to prime the pump and increase awareness to MetroPCS service in the second largest market in the US. These investments have helped create brand awareness and product acceptance and will fuel the viral word of mouth advertising that we are known for. Unlike our previously launched markets where we launch with a high percentage of covered pops and we experienced initial surge of net additions, our phased launch of the Los Angeles market is resulting in a more sustained growth pattern consistent with our continued build-out towards 15 million covered pops. This phased launch slightly elevates our consolidated CPGA in the short term. But as the market matures and grows, we expect CPGA to return to historical levels. Based on our internal network measurements, our network is performing as planned and with increased customer demand we continue to deliver high performance metrics and consistent network quality of service. Now, I would like to discuss our ongoing work in the Auction 66 markets. Construction in New York, Boston, Philadelphia, and Las Vegas continues and we are moving forward in building our networks. Local management in all four markets is focused on network construction. The Northeast is a huge opportunity in landline replacement for MetroPCS and we intend to capitalize on it. Let me take a minute to reiterate our launches in 2008 and 2009. We currently plan to focus on building out service in our Auction 66 markets to a total population of approximately 40 million with the primary focus on the New York, Philadelphia, Boston and Las Vegas metropolitan areas. As we discussed last quarter, our plan remains the same and we presently anticipate launching service in the following markets. Las Vegas, second quarter of 2008; Philadelphia, fourth quarter of 2008; Boston, first quarter of 2009; New York, first half of 2009. Of the approximate 40 million total population in these areas MetroPCS is targeting launch of operations with an initial covered population of approximately 30 million to 32 million. Our initial launch dates will vary in our Auction 66 markets, and launch dates in the larger metropolitan areas similar to the launch of Loss Angeles will be accomplished in phases. Timing of launches will of course depend on incumbent microwave clearing which we believe is progressing as planned. As far as AWS equipment and availability is concerned, we signed an amendment to our contract with our network vendor in the fourth quarter of 2007 and AWS network equipment is currently available. We expect handsets that meet our testing standards and the needs of our customers will be available in commercial quantities during the first quarter of 2008. This fits well with our planned market rollout for the Auction 66 markets that I just reviewed for you. Once again I would like to say that we are very pleased with the fourth quarter and full year 2007 results. And with that I will turn the call over to Braxton.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Thanks and good morning everyone. We've recorded strong financial and operational results for the fourth quarter and full year 2007. Today I will discuss the results of the fourth quarter and yearend 2007 then I will walk everyone through our 2008 guidance which we reaffirmed in this morning's press release. Total revenues for the fourth quarter were $591 million, up approximately 30% over the fourth quarter of 2006. Consolidated adjusted EBITDA for the quarter was a 153 million, approximately 38% higher than last year's fourth quarter. We generated approximately $150 million in cash from operating activities in the quarter, an increase of approximately 87% from the prior year's fourth quarter. Excluding an $83 million impairment charge recorded during the quarter we produced consolidated income of 36 million or $0.10 per share. For the full year, we recorded total revenue of $2.2 billion representing 45% growth year-over-year. Consolidated adjusted EBITDA for the full year 2007 was $667 million representing a full year growth of just under 70%. We generated approximately $589 million in cash from operating activities in 2007 representing a 62% increase from 2006. Net income for the full year was $100 million representing an 87% increase over 2006. From a financial metric perspective we are also very pleased with results of the fourth quarter. Our ARPU for the fourth quarter of 2007 was $42.54 compared to $43.15 in the year ago quarter. The change in ARPU was primarily attributable to the higher mix of family plan offerings, which were launched well over a year ago by MetroPCS. Our CPGA for the quarter was approximately $137 as compared to approximately $120 in the prior year's fourth quarter. Our CPGA continues to be among the lowest in the industry and this quarter's increase was primarily driven by the launch of Los Angeles. We would expect as Los Angeles continues its ramp, CPGA will return to normalized levels. Our CPU for the quarter was $18.93 representing a decline of approximately 4% from last year's fourth quarter and continues to demonstrate the significant impact to the scaling of our business even when taking into account the expenses related to launch a service in Los Angeles. The expansion markets impacted our consolidated fourth quarter CPU by approximately $4 resulting in a world class core market CPU of just under $15 for the fourth quarter of 2007. Fourth quarter net additions were strong considering the macro economic environment and totaled nearly 300,000. A very important point is the proportion of these net adds generated in our core markets, which was approximately 27% of our total net additions. At December 31, 2007, we had an 11.3% penetration in our core markets, which represents an incremental 1.1% gain in penetration over the last 12 months. Our expansion markets continue to perform very well with over 100% total subscriber growth from last year. I'd now like to discuss the income statement in more detail. We will start with service revenues. On a consolidated basis, service revenues totaled $511 million, an increase of 36% from the fourth quarter of 2006. For the full year, service revenue of $1.9 billion represents year-over-year growth of 49%. Growth in service revenue for the fourth quarter and for the full year is primarily attributable to the net addition of over 1 million subscribers since the end of 2006. In our core markets, service revenues increased $56 million or 18% to $363 million for the fourth quarter. For the full year, core market service revenue was 1.4 billion representing growth of 24% when compared to 2006. This increase was primarily attributable to full year net additions of approximately 358,000 subscribers during the last 12 months. Our expansion market service revenues increased $80 million or 118% to $148 million for the fourth quarter versus $68 million for fourth quarter 2006. For the full year, expansion market service revenue grew 230% to $504 million. This increase is primarily attributable to net additions of 664,000 subscribers during the last 12 months. Let's now talk about expenses. Our consolidated cost of service increased $45 million or 34% to $176 million for the fourth quarter. Core markets' cost of service increased $26 million or 27% to $120 million for the fourth quarter versus $94 million a year ago. The increase was driven by the operating cost to support net additions of 358,000 subscribers over the last 12 months, operating cost to support the additional network infrastructure added during the year, and an increase in federal USF of $12 million over a year ago. The expansion market cost of service increased $19 million to $56 million for the fourth quarter of 2007 versus $37 million a year ago. The increase was primarily attributable to the addition of 664,000 new subscribers during the last 12 months as well as the additional network infrastructure added during the year. Consolidated selling, general and administrative expenses increased $40 million or 56% to $112 million for the fourth quarter. The increase is due to an increase in expansion market selling, general and administrative expenses partially offset by a decrease in core markets' selling, general and administrative expenses including stock based compensation and are as follows. Core markets' SG&A expenses decreased $5 million or 11% to $39 million for the fourth quarter from $44 million during the same quarter in 2006. The decrease is primarily related to the increase in scale of our business in the core markets. The expansion markets SG&A expenses increased $45 million to $73 million for the quarter compared to $28 million in the prior year. This increase was principally the result of supporting expansion market subscriber growth of over 100% since December 31, 2006 as well as expenses incurred in connection with the launch of service in Los Angeles and expenses related to the construction of our new markets in the Northeast, New York, Philadelphia, Boston, and Las Vegas. Moving on to adjusted EBITDA. Consolidated adjusted EBITDA for the quarter was $153 million with consolidated adjusted EBITDA margin of approximately 30%. Included in our fourth quarter adjusted EBITDA are three items worth noting: approximately $8 million in nonrecurring charges related to USF and some M&A activity, roughly $15 million related to a substantial ramp in the advertising spending for the launch of the Los Angeles market as Tom has previously referred to, and approximately $10 million related to high gross add volume in the latter part of the fourth quarter as compared to the third quarter. For the year ended December 31, 2007, adjusted EBITDA was $667 million, with an adjusted EBITDA margin of approximately 35%. I am pleased to report that our core market fully loaded adjusted EBITDA as a percent of service revenue with 46.2% for the year ended December 31, 2007. During the quarter we incurred capital expenditures of approximately $242 million. This was a consolidated number and included not only CapEx to the support the growth in our core expansion markets but also CapEx related to our recent launch of service in Los Angeles and the build-out of our Auction 66 markets. For the full year 2007, we incurred a total of approximately $768 million in capital expenditures. With respect to liquidity and capital resources, we finished the fourth quarter with approximately 1.5 billion in cash and cash equivalents. Our total leverage computed in accordance with our 9.25% senior notes on an LTM basis at the end of the December was 4.14 times. Our weighted average cost of debt was approximately 8% and approximately 80% of our debt is fixed by its nature or through interest rate hedges the next two years. During the fourth quarter of 2007 the company recorded an $83 million impairment of remarkable securities relating to investments totaling $134 million in auction rate securities. Including the $15 write-down recorded in the third quarter of 2007. The remaining investment marketable securities as of December 31, 2007 totals $36 million. The company is closely monitoring these instruments. However we do not believe that the impairment charge has resulted or will result in a material impact on the company's liquidity or financial flexibility. Based on the company's cash and cash equivalents balance of approximately $1.5 billion at December 31, 2007 and expected operating cash flows, we have a fully funded business plan. The current locked liquidity in the credit and capital market will not have a material impact on the company's liquidity, cash flow, financial flexibility or ability to fund our operations including our planned build-out of additional markets. Moving to guidance. For the full year 2008, MetroPCS today reaffirms all guidance and as such expects net subscriber additions to be in the range of 1.25 million to 1.52 million on a consolidated basis. With 250,000 to 320,000 in the core markets and 1 million to 1.2 million in the expansion market which does include 75,000 to 125,000 in the Auction 66 markets. The company currently expects consolidated adjusted EBITDA in the range of $750 million to $850 million for the year ended December 31, 2008, which is inclusive of an adjusted EBITDA burn in the range of $125 million to $175 million in the Auction 66 markets. Without the EBITDA burn on our Auction 66 markets, we'd be approaching the $1 billion EBITDA range for 2008. MetroPCS currently expects to incur in the range of $1.1 billion to $1.3 billion in capital expenditures for the year ended December 31, 2008 in its core and expansion markets which includes $600 million to $700 million in our Auction 66 markets. This is the end of our prepared remarks. I would now like to turn the call back over to the operator for Q&A. Operator? Question And Answer
Operator: [Operator Instructions]. Your first question will come from the line of Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley: Okay, Thank you very much. Good morning. Could you talk a little bit more about Los Angeles? You talked about more of a phased ramp than sort of immediate. I think on the last call you talked about 0.5% penetration in that you are going towards just sort of 5% penetration within 12 months. Maybe you could update us on where we stand on that sort of trajectory, is that a good way to think about it? And then also if you can talk about churn, it came down nicely under 5%. How should be we think about that trending through the balance of the year, and the key drivers there? Thanks.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Sure, yes. I think the way to look at Los Angeles, Simon, is that there is no way that we could have matched our positioning for the fourth quarter, had Los Angeles not continued to ramp and perform very well. And I think the further way to look at this is given the fact that we have reaffirmed guidance as of today, which is based upon full visibility of everything that has transpired through today, speaks very highly of the way that we're viewing Los Angeles as contributions to our goals and our guidance for the full year 2008. When you look at churn, we are definitely focused on the churn equation. And remember the right way to look at churn is amortizing the cost of acquisition over the life of the customer. And that's why it's so critical that our low world class CPGA be considered in this equation. Taking churn time CPGA results in roughly $5 of expense per month for MetroPCS. And rack that up against the nationals, and rack that up against additional players, and you can see that we benchmark really at the top of the class there. We are continued to be focused on churn. We did, when you look quarter-over-quarter, see a slight increase in churn, and there is really two factors that are driving that. Remember we had a substantial over performance in the first quarter of 2006. And when you are looking at, you know, the long-term activity of a class of customers, it takes a year to really work through and get to a normalized level with the class of customers. And secondly there has been some impacts from a macroeconomic standpoint. But remember one of our key differentiators is flexibility. Though I think it's a real testament that we performed so well with net additions during the quarter, even given an elevated churn for the fourth quarter.
Simon Flannery - Morgan Stanley: What's the key variable making... to making LA the success that you want it to be? Is it getting that coverage out there; is it filling in the existing footprint, is it... are you seeing much of an impact from Boost for example?
Thomas C. Keys - Chief Operating Officer: Hi Simon, this is Tom, I will take that. Its really two-fold for us. The first is to maintain the course of our network built, to ensure that it goes according to our plan. Secondarily is to maintain the course of our distribution expansion as we expand the network. We've always said that we wanted to deliver quality of service in LA that meets our expectations. So we are not going to expand our distribution beyond our network capabilities and we've maintained that since we have launched. That's really the key to our expansion in the future.
Simon Flannery - Morgan Stanley: Thank you.
Operator: The next question will come from the line of Phil Cusick with Bear Stearns.
Phil Cusick - Bear Stearns: Hi guys, thanks for taking the question.
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Hi Phil.
Phil Cusick - Bear Stearns: A couple of things. I mean, one, can we start with ARPU which was down sequentially for the first time in a couple of years, and what are the drivers there? And then second of all, you've got a bunch of different geographies. It seems like South Florida and Atlanta are really hit hard by housing; Detroit, you highlighted a little bit, LA. Can you talk about those South Florida markets; are those starting to stabilize or they still getting worse? And then Detroit if you could give us any more color on what's really driving that business that would be great? Thanks.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Sure Phil. First of all we did comment that there was a decrease in ARPU quarter-over-quarter, year-over-year. And what you got to focus on is that the difference there is the increased mix of family plan. And the family plan is not a new offering by MetroPCS; this offering was actually introduced over a year ago. And it was really important from a competitive positioning against the national carriers where they get predominantly the majority of their adds from family plans. So, what we saw was the fourth quarter is really the first anniversary of having a full year of family plan impact, and that really was the driver. But once you get past that first anniversary, the substantial impact of family plan is really baked into your results. So, I hope that clarifies that. Now, I do want to comment that our core performance in our expansion market performance was significantly ahead of consensus for both segments. And, when you look at the relative performance on an individual market level even though there is weakness on both curves from a housing standpoint, we have seen numbers that exceeded expectations, and we're continuing to look at a very positive 2008. And I think it goes to the positioning and the messaging that we've been really trying to get out which is with severe or trying economic times if they continue that we actually think there is an opportunity with MetroPCS. Remember our differentiation is affordability, flexibility and predictability, and that becomes even more important during these times. You will see people trading down, you'll see what we think is incremental opportunity and that really goes to the later part of your question which was what are we seeing in Detroit. Tom commented that Detroit continues to operate very well, and in fact has some profiles which are very interesting, one of which is a lower than average churn rate. And I think that really shows the value and the importance of wireline displacements which is also extremely high in Detroit versus the balance of the country and how this model fits perfectly in that type of situation. Thanks Phil.
Operator: Your next question will come from the line of David Barden with Banc of America Securities.
David Barden - Banc of America Securities: Hi guys good morning. A couple of questions if I could. The first one is maybe the higher level Roger, Braxton, the argument here has been as you made the last quarter that the longer the economic malaise lasts the greater the incremental opportunity as it plays to your strength, you might loose some of the low end but more of say that the low end post pay guys might fall into your sphere of influence. And I was wondering if you could kind of speak to whether you in fact or actually seeing that happen given that we are now seeing an extended period of economic choppiness and whether you think that that's the incremental opportunity the further it goes? The second question would be if you guys probably appreciate if it's not one thing, it's an another. For last two quarters it's been the economy and what the impacts are there, hence the first question. And the other shoe to drop is everyone's been around here wondering what Sprint's going to talk about tomorrow and whether Boost unlimited is going to be a $35 national plan or not; they are trialing that $35 price point in Vegas and in New Orleans. And to the extent that you are already kind of pretty much engaged with those guys speaking I think directly to the risk, the numbers in '08 from that incremental unit of competition would be helpful? Thanks.
Roger D. Linquist - Chairman, President, and Chief Executive Officer: I think as Tom as indicated that the performance in Detroit has been very, very, I think, directional and a good signal of what we would expect. All the markets that we participate in particularly South Florida has a very diverse mixture. You have a good deal of economic impact that's occurred in Fort Myers being particular community of hard hit and particularly in the subprime area. And we've seen strength throughout Florida. But on the other hand Detroit, I think, is a more pure example of what happens under very strong economic downturn and we have seen strength in Detroit and I think as indicated before the churn rate is a bit below the average. So, I think the tenant that in a more prolonged economic slowdown, people simply shop for better values. I think we have mentioned before when you have spikes anything can happen, but we see, I think, at this point that thesis that when there is an economic slowdown and it's more of an intermediate term effect or perhaps even longer that there really is benefits and we see them in the markets where we would expect that these factors would have the greatest impact. The second part, do you want to take?
Thomas C. Keys - Chief Operating Officer: You know, David, regarding any impact from Boost across our markets, we really haven't seen any impact since they have launched. We understand they may be trying some different pricing plans. The thing that we are seeing is our... with out unique distribution that we have in our markets. As Roger mentioned, we have... we are seeing strength in our markets. Detroit certainly from the economy standpoint is holding up very well for us. But we also believe that we have a very unique distribution model. We have unique dealers inside the model that truly believe what we do and how we do it, and that's one of our core strengths is that we can blanket an area to service our customers and provide a level of ubiquity inside of our market that we think is unmatched.
David Barden - Banc of America Securities: So let me follow up on that, Tom, if I could. I mean, one of issues was that Sprint got to LA with their Boost unlimited plan before you guys, you guys now have some experienced kind backfilling behind than being ahead of you in that market. Now they are in Las Vegas with a $35 plan, they are ahead of you by probably a longer lead time than in LA. Do we need to start thinking about a different trajectory and an ultimate penetration in these markets because guys like Sprint are there now, or are you with your experience in LA able to definitively say we are able to grow despite Sprint being there?
Thomas C. Keys - Chief Operating Officer: I like your latter statement. We believe we are able to grow despite them being there. I also believe that all lessons learned that we take from every market launch and that we bring forward, we believe that in our phased launch in LA, you will see a phased launch in New York just based upon the size. We understand what we need to do in New York to continue our penetration like we would like to have it in the model and are very confident that we will see that.
David Barden - Banc of America Securities: All right, great. Thank you guys.
Operator: Your next question will come from line of Rick Prentiss with Raymond James.
Richard H. Prentiss Jr. - Raymond James: Yes, hey guys. Sorry I am joining the call a little bit late, we had another call going as well. I don't think these questions have been asked maybe this way. First, good morning.
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Good morning.
Richard H. Prentiss Jr. - Raymond James: On LA I think there was little color given on LA, what I am curious about to is maybe some add-on questions to that. As you grow the pops in LA from around $11 million at launch to $15 million by the third quarter, how does that play out as far as hoping the existing $11 million pops had already launched from a penetration standpoint. And the second question is typically in the past we've seen market launches. You might have gotten 1.5%, 1.75% penetration points in the first full quarter of penetration. Has LA continued down that path and as far as kind of what a one-year penetration number might look like, do you think LA will exhibit a similar pattern, maybe go above your previous patterns on a one-year penetration number?
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Of course. I think, the answer is that, I think that you will see something very similar to what we have seen in other markets and I think it's very important to look at the phased approach because if you are covering 11 million pops initially instead of the 15 or say 15 plus later on this year, then you need to track that as a phase and how that grows as opposed to thinking in terms of the full market and then tracking the percentages on the total. I think we expect to track on that first phase of 11 million and that will play forward in time and then we'll pickup additional coverage. Certainly that will strengthen our package. Rich, I mean, there's no question about that the customers would like to see our full LA coverage. The real, I think, benefiting factor here is that we've been able to be... we think very successful and according to what... that we've tried to drive and get net gains that the coverage that we do have and the targeting of our distribution has satisfied and met the needs of these customers in these more local areas. And as we add coverage this we think will have a significant benefit for the total package and obviously including the new pops that we cover. Tom, do you want to --?
Thomas C. Keys - Chief Operating Officer: Yes, Rick, let me add one thing you asked about could we leverage the $11 million. I think we do that by our presence in California, by our presence upcoming in Las Vegas that's different from than other folks, with our distribution as unique as it is, we have people that understand our customer base, and understand who they are selling to, that come in from other market that help us launch markets and as we increase our coverage in Los Angles, we are going to connect corridors to other communities that now people will be able to move out further as we go from 11 million to 15 million. And the increase coverage is going to allow us to then increased distribution and in that case all boats rise with the tide.
Richard H. Prentiss Jr. - Raymond James: Okay.Second question is, and again, apologize if it's been answered. But a couple of times in the press release you had talked about less handset sales to existing subscribers. Can you update little bit about why think that trend has abated, is it related at all to churn going up a little bit and not chasing them. And then the final question which I think is an easy one. I know you can't talk about the auction, you are in a quiet period but maybe just address us on the rules, what is your understanding of when the anti-collusion rules rows come off? Is it 10 days... 10 business days after the auction and the initial down payment is in, but just kind of maybe a rule update for us?
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Okay, sure. Yes, we did comment that part of the fluctuation and equipment revenues was reduced sales to existing customers. But, like I think really the way to look at that is it's really more on the margins, when you are looking at the overall dynamic of what happens with revenue. There were other stronger drivers than just that category. That was just one component there. And it is interesting; we did not do anything different from a promotional standpoint. We did not do anything different from how we deal with our customers from a retention standpoint in the fourth quarter. It was business as usual. So one potential speculation here is that the macro economic environment may have had some impact on people trading up to maybe the latest and greatest handsets, even though we didn't see an adverse trend develop from a gross adds standpoint. We did see this trend here, but I want to emphasize, I think, it's more on the margins.
Richard H. Prentiss Jr. - Raymond James: Okay.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Then on your question relating to the quiet period or the anti-collusion period with the FCC, is it's basically 10 business days after the FCC announces the end of the auction and the winners. But of course, the FCC may announce winners of Auction 66 until the end of Auction 66. We don't know when it's going to end. I know if you put out a projection and I know you are really good at projecting that type of thing, I think you called it what, March 5th?
Richard H. Prentiss Jr. - Raymond James: Yes, sometime in the next kind of 1.5 to 2 weeks is what we are looking at possibly for the auction stand.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Okay, so this is... so that's basically the bottom line there.
Richard H. Prentiss Jr. - Raymond James: Okay, very good, thanks guys. Good luck.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Sure.
Operator: Your next question will come from the line of Michael Rollins with Citi Investment Research.
Michael Rollins - Citigroup Investment Research: Hi, good morning. Just a quick question. In terms of the monthly churn that you see relative to the way customers use the service, I think we've asked this question to you before. But do you have an updated perceptive in terms of... if you look the annual churn which is almost above 60% per year versus the 85% of people that use it as a primary phone. I realized some of it is customers coming in and out of, I guess, proper payment terms with you. But how do you reconcile the usage profile which is very heavy for your customers and still the high degree of turnover that you are seeing and is that an opportunity maybe to look at some of the core markets where you could see that improved significantly from the current level that it's at? Thank you.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Sure, I think one of the key things when you are looking at this business model that this is a no contract model and what we don't always really have a positive identification of who the customer is. And as a result we really track by handset, not by customer. And given how important phones are from a fashion standpoint today you do see a significant amount of the upgrades that are happening. And when roughly 85% of your distribution is in your indirect channel, we're not capturing those customers who are coming in and upgrading their phones. And we've talked about this before. We've quantified it by doing data mining within the billing system and it's roughly 1.5% on an annual basis of our total churn. So, if you take and back out those upgrades which is really not real churn, it's just not being captured that would put a normalized churn level in the 3 to 3.5% range. And that's the way that we look at it which is a much different story. Now, on the flip side, in all fairness, if we have fewer disconnects, that means we also have fewer gross adds because the nets are the nets. So, if there's fewer gross adds, that would mean that there would be a somewhat higher cost of acquisition roughly $20 to $25 when you do the math on it. But that's the way that we look at it.
Michael Rollins - Citigroup Investment Research: Great, thank you.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: You're welcome.
Operator: Your next question will come from the line of Scott Mallet [ph] with Goldman Sachs.
Unidentified Analyst: Good morning. It just looks like you recently added web access to your $40 plan. Can you just go over the decision to do this and what you think the benefits going to be. And also as you continue to add more and more value on these plans, can you just go into how you communicate these changes to customers? And then the other question I just have is on family plans. How much... is there anyway you can quantify how much uptake there's been in these plans, and is there a noticeable difference in churn between those in the family plan and the rest of the base?
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Yes, let me start with that. Web access, we think that there is a potential opportunity and this is a market test, This is a promotional item for us, we have not yet decided to go to all the markets and make this part of our rate plans, but what we do see and when we look at the surveys and get more customers feed back that a good fractional of our subscriber base does not have the same necessarily access to web and we think that now with our aggressive approach to pricing voice, that the next frontier if you will is going to be in web access. Obviously it's quite limited because of screen and because of necessarily the handset that these individuals may have. But the applications are becoming much more robust, and as we bring these applications on our service, we think that this is a potentially very significant avenue for people that have either occasional access to the web and internet service, and the phone becomes the access point not only for voice but for data. So that's really the test probe, we haven't decided yet, but the opportunity's there and what the important part is to take away is that our cost structure allows us and enables us to do this because we will continue to add services. Those services will become much more important over time incrementally and in aggregate. So, you know, that's the first step. I guess as to the communication, the value proposition, we do communicate this at all levels, but this is really at a store and at the counter level. So, what we focus on is not only the collateral but the ability for our sales reps and those that go and work through indirect distribution channels to be well trained enough to at least encourage and enlighten our potential customers as to the value that we've locked up here in these, I think, very well-priced rate plans. The last point family plan.
J. Braxton Carter - Executive Vice President and Chief Financial Officer: Yes, I think you bring up a great point I would really like to emphasize. While the family plans have shown that there is some ARPU... limited ARPU dilution, the early indications are that the churn rate is much lower on family plans. So where there may be some small short-term pain, I think that there is a lot of opportunity with the family plan take rates and mixes going forward.
Unidentified Analyst: Thank you.
Operator: Your next question will come from the line of Romeo Reyes with Jefferies & Company. Romeo, your line is open. Please go ahead with your question.
Romeo Reyes - Jefferies & Company: Hello, can you hear me?
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Yes, Romeo how are you?
Romeo Reyes - Jefferies & Company: Two questions. Just going back on the family plans, what percentage, Braxton, of your total subs, of your 4 million subs are either on family plans or... and do you guys have automatic bill pay and discounts for AVP with your customer base? It seems like you know family plans from my experiences with other companies, there's automatic bill pay and there's like a $5 discount. So that tends to also reduce the ARPU. And then the second question is I mean we've spoken about handset upgrade related churn. I don't know if there's any way to quantify that here, but can you give us maybe a quick update on what your thoughts are there at least for the last quarter? And then lastly, I think you guys touched up on fund distribution. One of the things that I think is kind of difficult to get our arms around is figuring out the differences of how there is unlimited model which was built from the ground up to be unlimited and with indirect distribution, how that stacks up against the Me 2s, the Boost Mobiles that are coming out there trying to emulate what you guys have built over the last seven years. So can you give me a sense of how you know that distribution, how difficult it is to put it in play and replicate, those are my questions? Thanks.
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Okay, on the family plans, we don't get into specific mix disclosures. And I hope you can appreciate from a competitive standpoint. But I can tell you that we're the nationals, the research says that well over half of their additions or family plan; that is not the case with MetroPCS. And also, I want to point out that this is been out for over a year, this is not a new phenomenon for MetroPCS. So, when you are really looking at year-over-year results, we have anniversaried the launch of the family plan. So, I wouldn't really read too much additional dilution of ARPU as a potential to this family plans. As you want to say that there is under... just the way that this works that there is absolutely an auto pay feature. That's available to all of our customers not only to our family plan customers. And the actual dynamics of how our family plan works as you sign up for your original plan and your additional lines are in fact discounted but it's a huge difference between us and the typical family plan. You have a unlimited on each one of our lines. The gain on family plans and the traditional paradigm is to increase the overall size of the bucket of minutes and then potentially have over charge calling on those minutes. So, we believe that we're extremely competitive in our offering.
Thomas C. Keys - Chief Operating Officer: To the extent about our distribution rather than just, if you will, give up the secret sauce to how we do this, there's a couple of things that are very unique. In a particular city we will have all of our distributors branded and look on the outside, the channel lettering signs like MetroPCS with authorized dealers. That allows everybody to play at the same level. All of our dealers were able to take advantage of all of our marketing, take advantage of all of our MDF programs equally and customers when they walk into a store will get a similar experience. Internally we pay extreme importance to our dealer channel. We embraced their needs and they embrace our wants and it's a very, very reciprocal relationship that works very well and we've just done this model as we launch every city in similar ways and it will work as we go forward.
Operator: And we will take our last question from the line of Gray Powell with Wachovia.
Gray Powell - Wachovia Securities: Great. Thanks a lot guys for taking the question. I hopped on a little bit late so I apologize if I repeat anything. You know obviously there's been a lot of talk in the market about unlimited rate plans and at $100 per month AT&T and Verizon are obviously targeting a very different market than you guys. Is there a price for nationwide unlimited that you guys are to be concerned about or that would actually make you react. And then just kind of asking the same question but a little bit differently. If you guys actually had a nationwide network, what would you charge for nationwide unlimited calling?
Roger D. Linquist - Chairman, President, and Chief Executive Officer: Let me go with the first question first. It's kind of a marketer's dream to have your competitors discover a segment that you've been active in and to then price roughly three times that of which you're pricing at. Now it's not apples and oranges or it is apples and oranges in a sense that the coverage could be an important factor but we know from our own application that that is not the case with a very large cross section of the local market. So, it's kind of I guess from our standpoint a very... kind of a windfall if you will to have others discover a product segment that's so significant and then to create awareness around that segment that helps us to market our products simply because the other company has made it so clear that for shopping purposes you can be able to go and compare products which now it's the category is really clear at all. As far as having a national product, I think that's certainly interesting. I really couldn't speculate on what kind of charges we have but obviously if we are where we are today locally, we would expect to have a very aggressive offering where we to be national. If that is the end of the callers, I would like to thank you very much for participating on today's call. We certainly appreciate your interest and support in MetroPCS and look forward to the next quarter of continued progress. Thank you.
Operator: Ladies and gentlemen, this does conclude the MetroPCS Communications fourth quarter and yearend 2007 results conference call. You may now disconnect.